Massimo Reynaudo: Welcome to UPM's Quarter 2 2025 Results Webcast. My name is Massimo Reynaudo. I'm the CEO of UPM, and I'm here today with Tapio Korpeinen, the CFO. Over the next half an hour or so, we wil share the main facts of the second quarter and then open up for your questions. Three months ago, we reported a good start of the year, but the promising start took a negative turn during the second quarter. In quarter 2, in fact, our sales decreased by 6% from last year to EUR 2.4 billion, mainly due to lower sales prices and unfavorable changes in currency exchange rates. Our comparable EBIT decreased by 31% to EUR 126 million. The EBIT margin was 5.2%. The tariff announcements caused uncertainty in the global trade, which weakened the demand for our products and weakened the U.S. dollar. These had negative impact, particularly on our Fibres and Communication Paper businesses. On the other hand, our advanced materials businesses showed more resilience. To secure performance, we took a number of decisive actions to safeguard the competitiveness across all our businesses. In parallel, we also made good progresses in the refinery in Leuna, successfully starting up the first of the refineries' 3 core processes. This represents a key milestone in the development of a new biochemical business. Quarter 2 was characterized by the widespread introduction of tariffs by the U.S., followed by several changes in the scale and date of applications. Also and connected with that, there have been significant weakening of the U.S. dollar. This uncertainty affected the business activity, not just in the U.S. but in many geographies. I'll give you a brief overview now on the market development during the quarter, and then we'll come back later to the actions we planned in the different businesses. Let's start with Fibres. In China, big market for Fibres, pulp orders slowed down significantly at the beginning of the quarter when the trade dispute with the U.S. was at its highest level. Customer deliveries recovered later in the quarter, but at a lower price level. The weakened U.S. dollar impacted the pulp performance as well. In Communication Papers, the demand has been weak in Europe. minus 9% versus previous year. And in the U.S., the tariff uncertainties translated into customers facing both unpredictability when it comes to the cost of paper and their underlying business. That ultimately affected the overall demand in the U.S., which slowed down. And because of that significant overcapacity, prices decreased and the weakening U.S. dollar impacted the performance on top. On a positive side, the advanced material market were more resilient in this prevailing uncertainty. The labeling materials demand in quarter 2 decreased by 1% in Europe, but grew 3% in North America compared to the year before. On the other hand, the growth softened in the U.S. in the labels and release liners and packaging paper markets, specifically toward the end of the second quarter. Demand for fine papers in China was rather weak, particularly during the peak of the trade tensions and prices were low as well. And when it comes to plywood markets, the market situation, the demand improved somewhat, but our business in quarter 2 was not able to capture the -- fully this opportunity due to a strike in the Finnish mills linked with the labor contract negotiation. After the new collective labor agreement was signed in May, production volume quickly picked up, supported by a high backlog of orders. In decarbonization solution, the market for advanced renewable fuels improved, and our UPM Biofuels business improved its performance with higher deliveries, decreasing cost and reached EBIT breakeven in the quarter. UPM Energy experienced a quarter of historically low market prices. But on a positive side, the second quarter showed increased power demand in Finland, which we can take as an indication that the electrification of the economy is starting to gain traction and clearly a positive indication for the future. But at this point in time, I'll hand it over to Tapio for some further comments on the results.
Tapio Juhani Korpeinen: Thank you, Massimo. So here on the left-hand side, you can see the year-on-year comparison of the second quarter EBIT, so this year compared to Q2 last year. Sales prices decreased in nearly all businesses in this comparison with largest impacts in Fibres and Communication Papers. Variable costs decreased in most categories, whereas wood costs in Finland still were on the increase. Thus, variable costs only had a minor positive impact on the result. Changes in the -- delivery volumes had a small negative impact, which was more than offset by lower fixed costs. Exchange rates represented a headwind for us. We started the year with a U.S. dollar-euro exchange rate of $1.04 per euro. And then at the end of the quarter or beginning of the -- end of the 6 months or beginning of the third quarter, we were at $1.17 per euro level. That change means roughly for the first half, about EUR 30 million negative impact on our result after hedges. On the right-hand side of the slide, we show the respective comparison sequentially to the previous quarter, so quarter 2 vis-a-vis quarter 1 this year. The biggest negatives are in low volumes and high fixed costs with a combined impact of about EUR 100 million. And 80% of this is related to high maintenance activity during the second quarter. In the second quarter, the Paso de los Toros and Kymi pulp mills and all 3 units at the Olkiluoto nuclear power plant took their maintenance shutdowns. Maintenance impact was along what we have earlier guided, meaning around EUR 75 million for the pulp business from the 2 shutdowns. And let's say, including then the impacts from the shutdowns in Olkiluoto overall impact on the second quarter, a bit more than EUR 90 million. The remaining part of the volume decrease is related to the slower deliveries during the highly uncertain second quarter market conditions. The remaining part of the fixed cost increase is seasonal. In addition, sales prices decreased and as said, currencies had a negative impact. Then looking at the comparable EBIT by business area. So starting from the right-hand side here, you can see the resilient performance of Adhesive Materials and Specialty Papers. In Adhesive Materials, the markets were largely stable, and our sales actually continued to grow. EBIT was flat from the first quarter. In Specialty Papers, label papers and release liners business was holding relatively well, but then fine paper deliveries and prices in China were impacted by the high market uncertainty during the spring. In Plywood, our performance was held back by the strike. Then looking at the upper row, you can see the 2 businesses most impacted by the global trade uncertainties and by the weaker U.S. dollar as well, Fibres and Communication Papers. In Fibres, the biggest negative impact sequentially from the first quarter was the high maintenance activity. However, prices decreased as well. The average pulp price in euros in the second quarter was 6% lower than in the first quarter or 18% lower than last year. Compared with last year, costs in Uruguay decreased, whereas wood costs in Finland still increased. Communication Papers' EBIT decreased mainly due to lower paper price and unfavorable exchange rates. The average paper price in euros decreased by 5% from the first quarter. Paper deliveries increased by 1% from the first quarter, but then compared to the second quarter last year showed a decrease of 6%. Finally, Energy experienced historically low market price of electricity in Finland. Second quarter is seasonally low season. In addition to that, after a mild winter, the Nordic hydro reservoirs were high and also the transmission connection EstLink 2 from Finland to the Baltic states was under repair and has been put back to operation then after that. However, there were also some, let's say, green shoots or early indications in the market, as Massimo mentioned. Electricity consumption was higher for the second quarter consumption than in any year since 2008. And obviously, 2008 time frame, we saw a significant restructuring in the energy-intensive traditional industries post-global-financial-crisis. So let's say, after that sort of a reset in industrial consumption, now then for the first time, we are seeing higher consumption and therefore, an indication in a sense of the new dynamics and demand of electrification starting to take shape in Finland. Then on our financial position in the second quarter, our net debt stood at EUR 3.3 billion, and the net debt-to-EBITDA ratio was 2.12. In the second quarter, we paid the first part of the dividend decided in the Annual General Meeting. And also during the first half of the year, we implemented the share repurchase program. Our financial position continues to be solid. Nevertheless, we aim to bring the net debt-to-EBITDA ratio to back below 2x in the near term. Massimo already mentioned the positive development as regards to the profitability in the Biofuels business. Here, you can see the biannual update of our performance in Biofuels and Biochemicals, which are reported as part of our other operations. As most of you know, last year was a challenging year in Biofuels. Sales price since then have still remained low, but our deliveries have increased, and we have been able to drive down our costs. In the second quarter, the business reached EBIT breakeven. In Biochemicals, we achieved the first milestone in starting production in Leuna as the wood to sugars and lignin process was successfully tested and started up. This is key to enabling the refineries further conversion processes to renewable chemicals and materials. Three months ago, we discussed the potential impact of tariffs to our business. As it turned out, the direct impact of tariffs has been minor thus far and as we had anticipated on this regard. But then the indirect impact of the high uncertainty and weaker dollar related to that has been material and particularly so in Fibres and Communication Papers. It is good to note that there continues to be uncertainty about the tariff levels, as we all well know, between the U.S. and the EU. And on top of that, between the U.S. and many other regions, some of which have competitors to our businesses. This slide also reminds you of the scale and nature of our business in the U.S. Then looking at our exposure to foreign exchange. Again, as mentioned, the U.S. dollar weakened rapidly during the first half. Further currency fluctuations are possible given the uncertainties in geopolitics, fiscal policies and global trade. And this slide summarizes our main currency exposures and our hedging policy. And then to our outlook, we guide for the second half 2025 comparable EBIT to be in the range of EUR 425 million to EUR 650 million, so to improve from the first half of 2025, but then compared to second half of last year to decrease from that. When we compare with the first half 2025, we expect lower variable costs in the second half, including the timing of the annual energy refunds in the fourth quarter in the Communication Papers business area. And I would say that the amount of refunds, we expect likely to be similar or slightly smaller than what we saw last year. Given the continued high wood prices, it is also possible that we will see a forest fair value increase in the fourth quarter here in Finland. And if then that will be the case, could be somewhat smaller or, let's say, at the most similar to what we saw last year. We expect resilient performance to continue in the advanced materials businesses. On the negative side, pulp prices are currently lower than they were during the first half of the year. Then when we compare the second half to the second half of 2024, our performance this year is negatively impacted by lower sales margins in the pulp business, lower Communication Papers deliveries and higher maintenance activity. So during the second half, we will have shutdowns at the Kaukas and Fray Bentos pulp mills and the total maintenance impact of this is about EUR 60 million on the second half result. On the positive side, we expect performance to improve in the advanced materials businesses year-on-year. In both comparisons, the current euro-USD exchange rate is worse for us than in either comparison period. And then obviously, one can finally say that significant uncertainties still prevail as far as the global trade policies are concerned. So now I'll hand it back over to Massimo for our focus going forward from here.
Massimo Reynaudo: Thank you, Tapio. In the current uncertain markets, we continue to take decisive actions to secure and improve our performance. Growth remains our objective, and we will continue to pursue well-targeted opportunities of organic and inorganic growth. But in this sense and in line with our strategy and our operating model, we will leverage the opportunities offered by a diversified portfolio together with the aim to have world-class performance standards in each of the segments where we operate. And talking about world-class standards. In Fibres, we continue to leverage our world-class business platform in Uruguay. And we will take all the measures necessary to safeguard profitability in the finished pulp operations. In Uruguay, we continue to drive down cost during the first part of the year. This work continues, and we will have the full benefits also of our plantation platform by 2027. In Finland, we managed to run our Finnish pulp operations profitably in quarter 2. However, due to continued high wood prices in Finland and low pulp prices, the scheduled maintenance shutdown of the Kaukas pulp mill in quarter 3 will be extended to approximately 2 months. This allows us to avoid the most expensive wood sources and the lowest priced pulp deliveries. We will continue to monitor the situation closely and take further curtailment at our Finnish mills as needed. When it comes to Communication Paper, the business continues to align its capacity to the market demand and to focus on competitiveness and performance. In quarter 1, just as a reminder, we announced the planned closure of the Ettringen mill in Germany. And today, we have announced plans to permanently end the production at the Kaukas mill in Finland. Together, the 2 closures would reduce our paper capacity by some 570,000 tonnes, which represent about 13% of our current capacity. The combined reduction in annual fixed cost would be EUR 70 million. With these planned measures, we aim to ensure the efficient use of our remaining assets and secure our future competitiveness. As commented before, advanced materials markets have been relatively resilient in the global turmoil. We continue to pursue high performance and focused growth in this segment. The newly rebranded Adhesive Material business area continued to grow its sales in quarter 2. Actions to sharpen competitiveness and improve margin continued with positive impact expected in the second part of this year. As discussed earlier, our target is to return to double-digit EBIT margins in the near term. In terms of growth, the business is investing in strengthening its presence in faster-growing regions. In the U.S., we are investing in a new proprietary coating technology at the Mills River factory in North Carolina. That will increase significantly the capacity in the high-margin label segment in the U.S. This capacity expansion will also enable the transfer to Mills River of the volumes currently produced in the Fletcher factory in North Carolina. All orders from the Fletcher factory will be moved to Mills River by the end of April 2026 and activities in the site will then stop afterward. Also, and in parallel, we are investing in Malaysia to enhance our capability to serve growing South Asian markets. A new 1.5-meter coating line in the Johor Bahru factory enables new capabilities, superior quality and cost improvement. The combined investment for these 2 initiatives totals to about $25 million. At the same time, we are in the process of consolidating our position in the attractive graphic solution market following our recent acquisitions. In parallel, Specialty Paper, the Specialty Paper business is still dealing with uncertainty in the global trade policies and trend as well as a slow fine paper market in China. With a specific reference to the latter, the focus in this very moment is, therefore, on competitiveness, and we are currently optimizing our organizational structure in China and in Asia Pacific region, and that may lead to reducing up to 130 position in the region. In the medium term, we look for growth in this attractive business where we have a strong position to leverage. In the decarbonization solutions segment, doing a number of things, 3 are the main one. We are launching a new business entering now in the Biochemical business. We pursue performance improvement in Biofuels. And we look to maximize value and capture opportunities in the growing electricity market. During quarter 2, we communicated our decision to discontinue the Rotterdam refinery development. However, our interest in the market remains, and we focus our biofuel growth plans on 3 different directions. One is a further development and debottlenecking of the Lappeenranta refinery. The second is the continuous development of proprietary technologies to enable highly competitive feedstock, which we regard as a key competitive factor going forward. And the third is the qualification of our crude tall oil-based renewable fuels as a sustainable aviation fuel, a process we have initiated already last year. All of these measures are more capital efficient than a greenfield refinery project at this specific point in time. We mentioned it already a couple of times, but we are also very happy to disclose or to discuss the fact that we have started the first of the 3 units in Leuna. That is the unit that converts wood into sugars and lignin, which will then be converted in the other 2 units in valuable chemical products. This is a fundamental moment for us. Our teams are actively engaged as we speak in building process stability, overall process optimization and quality control measures. The next step will be starting up the lignin to renewable functional filler list -- sorry, unit. And finally, the sequence will be completed with the sugars to chemical unit start-up. As indicated earlier, the biorefinery is expected to reach full production and positive EBIT in 2027. So we close with this summary slide, which contains the key topics we covered so far. But in the interest of time, I would end here this part of the presentation and open the line up for your questions.
Operator: [Operator Instructions] The next question comes from Reinhardt van der Walt from Bank of America Securities.
Reinhardt van der Walt: The first one, maybe just on the pulp market balance. Can you give us a sense of how you're thinking about the cost curve at the moment, particularly the sort of the share of the cost curve that you think is currently loss-making, for hard and softwood pulp?
Massimo Reynaudo: I would say that -- I would come back to what we said before. And until now and in quarter 2, definitely, we have been profit-making here and our intention is to protect the profitability of this business by doing a number of things that we have done already last year by streamlining our organization, integrating our way of working all the way through forest management, wood management and pulp making. And also what we discussed earlier on that is this curtailment in Kaukas goes in the same direction. So that we don't go into supplying loss-making orders. But that also depends on wood cost. And so this is why we are taking this curtailment. [ Equally ] for memory, we have done this already last year about the same time of the year, taking a certain amount of time off. And this has eased the pressure on wood and wood cost has avoided us to buy the most expensive wood, which had a benefit on the moment we have done, but moreover, because wood costs take some time to filter through our P&L also in the following months. So we stay in the, let's say, manageable circumstances focused to avoid to go in the point of the cost curve that will not be profit making. But as we said, we will continue to monitor the situation because it's dynamic.
Reinhardt van der Walt: Understood. That's very helpful. And maybe just a second question on graphic paper or Communication Paper specifically. The additional closures this quarter, I presume this is probably not going to be the last closure that we see. What do you think is the optimal rate of graphic paper capacity closures in your portfolio? Do you think the ideal rate here is to close capacity in line with end market demand decline? Or do you think you can maybe hold on to a little bit more capacity and sort of point that capacity into different or adjacent markets?
Massimo Reynaudo: No. I would say that the way we look at the matter is to run efficiently and competitively. So basically, we make a decision to stop production, take capacity out when that is necessary to ensure an optimal operation rate and level into the remaining assets. The fact that we have in every category where we play multiple assets give us this possibility to play on an ecosystem that nowadays, given the market structure where there are a lot of players with maybe just a mill and a mill and the paper machine don't have it. So we have this possibility, and we use it so to optimize capacity and cost effectiveness and competitiveness. By this standpoint, this is nothing new. We have done this now for almost 20 years. What we don't aim to do and we could not do is to balance the market. Because we are an important player in the market, but we are not the only player in the market. So the market to be balanced will require slightly further decisions, but I'm not going to be speculating here about more decision from our side. We made 2 important decisions this year that will help and secure the competitiveness of our assets for the time being.
Operator: The next question comes from Ephrem Ravi from Citi.
Ephrem Ravi: Just a couple of sort of longer-term questions. Firstly, your leverage is now approaching about 2x net debt-to-EBITDA. It's not a situation that you have been in for a decade and including the time when you were building Paso de los Toros. So if it indeed does kind of go above 2x net debt-to-EBITDA, would you be looking to bring it down fairly quickly? I know there are no financial covenants, but in terms of capital management decisions like kind of reducing the dividend or even asset sales to kind of bring in cash. Is that something that you would be contemplating? And how long is sort of the tolerance for the net debt-to-EBITDA being above that 2x kind of level? And the next question would be on the impact of the tariffs. I know most of the impacts are indirect. But in terms of the direct impacts for the 60% of the sales that you import into the U.S., are there any footprint change decisions that you are considering in terms of kind of producing more of that locally to avoid any tariff impacts in the long term?
Tapio Juhani Korpeinen: Well, if I'll start as far as the leverage is concerned. So what our financial policy is that we want to be at or below 2x net debt-to- EBITDA because that is the kind of area where we feel we will be comfortably investment grade, which obviously we have that strong sort of rating well within the sort of investment-grade territory. So therefore, in a sense, then obviously, it is indeed our aim also to take, in a sense, the leverage down back to below 2x, as I said, in the near term. Also, I would say what is important, as far as sort of financial policy and the kind of allocation of funds is concerned is to have sort of continuity, which then regards the dividends as well. And I think that is for the benefit of both bondholders or lenders and shareholders that we don't want to be going back and forth or up and down, but rather have a consistent kind of track over the years. So in that sense, we keep our dividend policy, which means stable and, let's say, over time, growing dividends. But then also, as we have done in the past, we can manage our leverage and balance sheet such that we stay in the sort of below net debt to level. So in short, again, the aim is to come back then down to that level of leverage.
Massimo Reynaudo: And if you want, I can pick the other question about what today is not produced in the U.S. and whether we are thinking to build production in the U.S. I would say, in the current level of volatility, it's very difficult to make a long-term consideration and the type of businesses we are into require long-term considerations. But having said that, for example, the investment we are doing in the U.S. as we speak in Mills River in North Carolina will increase our capacity to serve that market. Situation may vary a bit business by business. If we talk about Communication Papers in the current situation, it's very difficult to imagine to build a new mill in Germany. So we'll need to see much -- we need to have much more clarity about how the situation will be in the future. When it comes to Fibres and pulp, again, long-term considerations are to be postponed. But for what is worth, as we speak, the numbers that are on the table talk about potential import tariffs of 50% on Brazil. Currently, Uruguay is at 10%. We don't know what will happen. But should this materialize, this will go rather on the opportunity side for us for the American market. And it's premature to make any, let's say, large-scale consideration. But on the base of this uncertainty, we had a number of customers in the U.S. that have inquired about further product availability and so on as a form of risk, what they see a risk and therefore, a need to mitigate that risk. But again, situation is very volatile and the answers will depend by the status quo that will be reached and will probably be different business area by business area.
Operator: The next question comes from Andrew Jones from UBS.
Andrew Ian Jones: I just wanted to dig into the guidance range that you've put out there. I'm wondering what you're factoring in for things like the fourth quarter energy rebate, the potential forest gain that you're talking about, what's baked in there? And then also on maintenance, obviously, you said EUR 90 million-ish for the second quarter. What are you thinking for the third and the fourth? And also, can you give us a ballpark? I know you didn't last time, but on what sort of pulp prices or other macro scenarios are baked into the top and bottom end of the range and how tariffs feed into that, just so that we have a frame of reference for how those top and bottom ends apply?
Tapio Juhani Korpeinen: Yes. Thanks, Andrew. If I'll take this. So then -- well, let's say, as mentioned already the sort of fourth quarter items. So we do expect and we'll see energy refunds compensation payments, primarily in the Communication Papers business. And let's say, those we would expect to be kind of similar or slightly smaller what we have seen last year. So I would say, typical kind of pattern as we have seen in the fourth quarter for several years now in the Communication Papers business. And again, let's say, to remember, these are basically refunds that are based on the 2024 kind of operations that come due and is paid to us and will be recorded in the result in the fourth quarter. Last year, as far as the forest valuation is concerned, we had EUR 105 million impacting the fourth quarter result. So as I said, it could be, let's say, some tens of millions or let's say, not more than what we had last year, again, included in this range that has been mentioned. Maintenance. So the 2 shutdowns during the second half, like is shown in the release or the quarter -- second quarter report, then we have Kaukas in the first part, so in third quarter and Fray Bentos in the fourth quarter. So that EUR 60 million should be, let's say, pretty much evenly split between the 2 quarters. And then as I said before, we don't give forecasts on pulp prices or other sort of macro factors. So unfortunately, we cannot sort of give any sort of numbers there. Of course, 1 variable that obviously is a moving part and was a moving part in the first half of the year, we sort of gave the range when the U.S. dollar to euro exchange rate was at $1.04. And as I mentioned, then the sort of change during the second half of the year was -- that kind of negative impact was around EUR 30 million. Now we start -- and at the time of guidance, we have an exchange rate of $1.17. And again, we don't venture to forecast, but let's say that if there is variables, everything else being equal, we would stay at this $1.17 level that would be a slightly somewhat higher negative impact than what we have in that first half result that I mentioned. That is in the forecast or in this guidance range, then any sort of deviation from that, then obviously, positive or negative, then would sort of move the result within that range.
Andrew Ian Jones: Okay. And just to follow up. So the -- so you're assuming basically spot FX through the rest of the year. But on the pulp side, I guess, given the lags, we kind of already know pricing largely up until the end of the third quarter. So is your -- I mean, I guess, to what extent can like pulp prices actually move that range if you -- if we do see a recovery coming through in 4Q?
Tapio Juhani Korpeinen: Well, let's say, again, pulp price, and again, we have the sensitivities there, but pulp price sort of movements will obviously be then one factor that kind of defines or determines in the end where we'll land within that range. So again, that range is given based on, let's say, what our sort of thinking at the moment is of various factors, including the pulp price, whether they are up or down, how much they could swing the result.
Andrew Ian Jones: Okay. And just on the tariffs, can you -- I mean, is the lower end of your range assuming a higher tariff, for example? Or is that kind of -- is tariffs factored into that like a higher tariff from the U.S. on Europe, for example?
Tapio Juhani Korpeinen: Let's say, of course, again, there can be many sort of permutations as we can all imagine based on the news from recent times, what kind of tariff outcomes there might be. But let's say, so that we have the risk of a sort of negative outcome or, let's say, more negative outcomes coming from the tariffs included in that range. So on the downside of that range, then would be included kind of an adverse scenario as far as tariffs are concerned.
Operator: The next question comes from Robin Santavirta from DNB Carnegie.
Robin Santavirta: The first question I have is related to capital allocation. So what is the outlook for growth investments for the next 2 years, thinking up until 2028? Should we expect no bigger growth CapEx in '26, '27? And how should we look at CapEx is the best sort of outlook roughly in line with this year in the next 2 years?
Massimo Reynaudo: Yes. Well, as we have commented a few times in the past, we have been the last year across a significant investment cycle. After which we were imagining to focus on the execution of this investment and have that cycle followed by a low CapEx cycle. And that's there, where we are. I mean, talking about big projects, Paso de los Toros is completed and executed. We may have some capital allocated over the next year to the debottlenecking will not be huge amounts and will be very efficient CapEx allocated there. Then another big investment in recent time has been Leuna, which is now completed. So at this point in time and going into the next year, I come back to what I said. We can imagine a low CapEx cycle to define what that means. Historically, the business needs in terms of CapEx to keep the business running have been in the EUR 200 million, EUR 250 million range. And that is what we can do foresee right now apart potentially from an investment in nonorganic opportunities, but those are depending on a number of different conditions.
Robin Santavirta: All right. And the second question is related to wood costs. So what are you seeing in terms of pulpwood pricing in Finland at the moment? Do you already see prices in the market declining or prices stuck on this record high level? And also relating to that, what is it that is holding up pulpwood prices in Finland? I mean demand must be quite significantly below normal levels at the moment.
Massimo Reynaudo: Okay. Well, we see in terms of pricing is the impact we have had in our P&L, and we have commented it earlier on to be of higher wood prices when it comes also to quarter 2. So wood prices have continued to grow until now. It is fair to say that very recently, there has been some, how can I say, stabilization. It's probably too soon to extrapolate different trends from the past. We also heard that from other markets in the Nordics, in Sweden or Norway, there have been some stabilization, but it's other markets from the one we are insisting to. So it's a situation we clearly look with the interest into because as we have defined multiple times, we do regard the current situation as unsustainable. And unsustainable because, let me recall it, because of 2 dimensions. One is the level of prices reached by wood. So it's probably not far away from the double of what they were in early 2022. But then there is the other dimension, which is lack of enough wood. The current wood availability, give or take, limited science in the number, but just 80% to 85% of the existing capacity in Finland could run, and that is not an efficient way to run. So when it comes to the future, it's to be seen. But to think to a balance, there will need to be something happening either on the supply side or on the demand side or both of them.
Robin Santavirta: But I'm just wondering, Massimo, I mean, if we look at the current production, if Kaukas is not able to run at capacity or at all, that's a decently efficient mill. Look, production cannot in Finland currently be higher than maybe 80%, probably even lower. Probably we're talking 70% of the wood consuming industry running at the moment. Wouldn't that mean that demand is lower than supply? So I'm just wondering what is keeping the wood costs. Perhaps it's a lag, perhaps it's component of price expectations by forest owners that need to change? Or is there something I'm missing in that equation?
Massimo Reynaudo: No. I mean there are many variables in the equation. You touched upon a number of them. I would say that actions like we are taking based on public information like others are taking to curtail production are also aimed to, let's say, to try and balance the situation better, but this has not turned into lower prices as we speak. So this is the reality. And there are also sort of other areas of utilization and new investment coming to the market that will require wood and so on. So it's a broader matter that goes beyond pulp.
Operator: The next question comes from James Perry from Citi.
James Perry: So just a couple. Firstly, on China, you referenced obviously the tough situation. Do you have a sense as to whether it relates to order pauses on the uncertainty? Or would you say it's tougher medium-term dynamics now with potential market share losses due to increased competition and overcapacity? And secondly, on Uruguay, you said in the past that you expect full utilization of Paso de los Toros to lead to about 300,000 tonnes additional pulp production in 2025. Do you think that still stands in light of the weak situation? Or would any downtime plans reduce that?
Massimo Reynaudo: Okay. I'll start with the second question. What we said about curtailment and downtime linked to -- it's something we are doing or looking into for the production in Finland, which is subject to very different dynamics. We are not looking for or considering downtime in Uruguay in any of the 2 mills and right because of, let's say, the competitiveness of the asset and the production we have over there. Then when it comes to the competitive situation in China, there are multiple elements playing over there. And I would say that, first of all, if we look by segment, what we see is that the tissue demand is holding up pretty well. Whereas there is more pressure in, let's say, other segments like specialty or packaging. And these other segments have been in quarter 2 also very heavily affected by this sort of trade conflict, which ended up into sort of a blockade of traffic or -- sorry, of flow of goods between China and the U.S. And a number of these products consume directly or indirectly pulp. So this is what we have observed so far. Now we also have observed, but it's a bit early days that if we talk about labeling materials in countries that have reached an agreement with U.S. in terms of tariffs, we have seen a restart of activity, some way and somewhat. But actually, this is the situation, and we do not see a strong market at this point in time. I don't know if I've answered your question or if there's anything more specific that you're aiming to know.
Operator: The next question comes from Cole Hathorn from Jefferies.
Cole Hathorn: I'd just like to follow up on Communication Paper. Profitability came down a little more than I think a lot of people expected. I know pricing was weaker, but what was kind of the key driver? Was it operating deleverage effect and tariffs and FX that kind of drove more of the profitability down? And then looking into the third and fourth quarter, more importantly, excluding the energy rebates, but will the turnaround and cash delivery of Communication Paper come back quite quickly? I know you're already taking actions with the Rauma paper mill.
Massimo Reynaudo: Yes. When it comes to the performance in Communication Paper, there is not 1 single element. There are 2 or even 3 that have stratified. Let's start geographically. In Europe, demand has been weak. I believe it has been minus 9% since the beginning of the year. So that's another significant drop on top of the organic decline. But it's been particularly weak also in the U.S. If the memory doesn't fail me, the demand, for example, of magazine paper, which is a segment we are particularly active in the U.S. has declined 12% in April and May on the base of the fact that, let's say, that paper, a part of it, a relevant proportion goes into catalogs. And catalogs have not been printed on the uncertainty about which product would be available, which price that will be coming in and so on and so forth. So to comment on the different elements, there's been an element of demand decline and rather significant sharp. There has been an element of price impact in Europe specifically. There is significant overcapacity, and that doesn't help, let's say, the price and Tapio has commented before about price dynamics quarter-on-quarter or year-on-year. And also the third element has been currency. All these 3 elements aligning and playing negatively. From this, the elements like demand, which ultimately will influence price are highly dependent on what will be the end state with this tariff situation. So we don't go into speculating about that. And equally, the same situation is for the exchange factor. But on the other hand, we are taking significant decision to reduce production and improve our competitiveness, but it's equally fair to recognize that they don't impact over time or the next month, but their effect are rather more spread over time.
Cole Hathorn: And then maybe just a follow-up on pulp on the back of that. Does that impact your net long pulp position as I imagine most of the pulp coming out of Rauma wouldn't have gone to the paper machine. I imagine that's more mechanical. So I'm just wondering if there's any impact on your pulp business from the closure of the paper machine. And could you just remind us, I know you're extending the maintenance at Rauma to manage wood costs, but do you get the benefit of not having to pay some of your staff just considering you've got the support from the government for 90 days there?
Massimo Reynaudo: Yes. I would say negligible. So for the sake of clarity and simplicity, I would say no impact from the decision of stopping production of paper in Kaukas on the pulp business. Those volumes can be readdressed and therefore, there will be no impact on that. Then there was a second part of the question, which I cannot recall, what is it?
Tapio Juhani Korpeinen: Well, basically, what is the -- we will have sort of short-term layoffs, which is covered by the unemployment insurance here in Finland. But overall, I would say that, again, like I said, EUR 30 million kind of maintenance cost impact as such, then the sort of extended downtime in Kaukas, I would say, no material impact, plus or minus because, yes, we do get some savings on the fixed cost side. But in the scheme of things, the sort of -- we are curtailing the tonnes where the margins are 0 or minimal. So in that sense, it's kind of not a material bottom line impact in the third quarter as such from the kind of extension of the downtime.
Massimo Reynaudo: Thank you, Colin. Also mindful of time. We have used the time available. So thank you all for your participation and for your questions. Have a nice day.